Operator: Welcome to the Second Quarter Fiscal Year 2014 Earnings Conference Call. My name is Janine, and I’ll be your operator for today’s call. [Operator Instructions] Please note that this conference is being recorded.
 I will now turn the call over to Tom Minichiello. Tom, you may now begin. 
Tom Minichiello: Thank you, Janine. Good morning, and welcome to our conference call to discuss the fiscal year 2014 second quarter results for Westell Technologies. The news release that we issued last night is posted on our website, westell.com. On this call Rick Gilbert and I will update you on the business and our financial results.
 Before I begin, please note that our presentation and discussion contain forward-looking statements about future results, performance or achievements, financial and otherwise. Words such as should, believe, expect, trend and similar expressions are intended to identify such forward-looking statements.
 These statements reflect management’s current expectations, estimates and assumptions. These forward-looking statements are not guarantees of future performance and involve risks and uncertainties that may cause Westell’s actual results, performance or achievements to differ materially from those discussed. The description of factors that may affect our future results is provided in the company’s SEC filings, including Form 10-K for the fiscal year ended March 31, 2013 under the section Risk Factors.
 The forward-looking statements made in this presentation are being made as of the date and time of this conference call. Westell disclaims any obligation to update or revise any forward-looking statements based on new information, future events or other factors. Our presentation today will also include non-GAAP financial measures. We've provided reconciliations to the most comparable GAAP measures in our news release.
 Now I’ll begin by discussing the financial results for our fiscal year 2014 second quarter ended September 30, 2013. Risk Gilbert, Westell’s Chairman and Chief Executive Officer, will then provide his perspective and we’ll conclude by talking questions.
 For the second quarter of fiscal 2014, Westell Technologies reported consolidated revenue of $30 million, a 33% increase from the first quarter of fiscal 2014. Revenue this quarter consisted of $16.1 million for the Kentrox reporting segment and $13.9 million for Westell. Both segments generated very strong sequential revenue growth in the second quarter, driven by record quarterly sales of intelligent site management solutions, Tower-Mounted Amplifiers or TMAs and Distributed Antenna System or DAS interface panels.
 On a GAAP basis, we reported consolidated net income for the second quarter of fiscal 2014 of $1.3 million or $0.02 per share versus a net loss $2.8 million or $0.05 per share in the first quarter of fiscal 2014. The bottom line sequential quarter improvement of $4.1 million was attributable primarily to the 33% increase in revenues as well as a decreased GAAP operating expenses due largely to lower amortization expense and related to the acquired intangible assets, excuse me.
 On a non-GAAP basis, net income for the second quarter of fiscal 2014 was $4 million or $0.07 per share compared to non-GAAP net income of $700,000 or $0.01 per share in the prior quarter. The non-GAAP net income improvement of $3.3 million was a result of the second quarter revenue growth while holding our non-GAAP operating expenses essentially flat at $9.35 million. As we’ve indicated in the past, we put a management and operating structure in place to drive and support growth in the business.
 Turning now to the gross margin, consolidated gross margin was 41.5% in the second quarter compared with 39.1% in the first quarter. The gross margin year-to-date was 40.4%. As we’ve stated, one of our key financial goals for fiscal 2014 is maintaining consolidated gross margins of better than 40%. Contributing to the gross margin improvement in the second quarter was the higher overall level of revenues and a favorable product mix. Partially offsetting this favorability were higher amounts recorded this quarter for excess and obsolete inventory.
 Turning to operating expenses. As I mentioned, consolidated non-GAAP OpEx this quarter was $9.35 million. The sequential increase in revenues combined with holding our non-GAAP operating expenses essentially flat from 1Q resulted in a strong operating profit margin for the quarter.
 Our balance sheet remains strong with $81.5 million in cash and short-term investments at September 30, 2013 and no debt. Net cash used in the quarter was $1.4 million including funding an $8.4 million increase in accounts receivable at quarter end as a result of this sequential revenue growth.
 Now, taking a deeper look at the second quarter segment information on a sequential basis. Revenue for the Kentrox segment was $16.1 million in the quarter, up 34% from $12 million last quarter. The sequential revenue growth was driven primarily by increased demand for a large deployment projects with domestic customers. Kentrox segment profit was $8.1 million and gross margin was 50.4% compared to $5.2 million and 43.5% last quarter. The margin improvement was due to the higher revenues and more favorable product mix.
 Kentrox segment R&D expenses were $900,000 compared to $1 million last quarter. As a result, Kentrox segment profit was $7.3 million compared to $4.2 million last quarter.
 Revenue for the Westell segment was $13.9 million, up 33% from $10.5 million last quarter driven by increased wireless product revenue, primarily TMAs and DAS panels.
 Westell segment gross profit was $4.3 million and gross margin was 31.1% compared to the $3.6 million and 34% last quarter. While gross profit improved due to the higher overall revenues, the margin decreased due to lower legacy product revenue and increased excess and obsolete inventory charges.
 Westell segment R&D expenses were $1.8 million compared to $1.7 million last quarter. As a result, Westell segment profit was $2.6 million compared to segment profit of $1.8 million last quarter.
 So with that review of the key financial results, I’d like to now turn the call over to Rick. 
Richard Gilbert: Thanks, Tom. As usual I’ll make a few observations about our second quarter and then open the call for your questions. As Tom has already described, we had outstanding financial results for the second quarter. Based on these results, I expect the primary questions for investors are why and will this trend continue. Let’s start with why. The simple fact is that with the sole exception of Ethernet all our new product lines experienced very strong growth during the quarter.
 As I said last quarter, the Kentrox business realized on the sales and execution of specific projects and during the second quarter, several key projects were rolling out at high volumes. This resulted in 34% sequential revenue growth for Kentrox, a very satisfactory follow-on to the excellent results recorded by the Kentrox segment last quarter.
 At the same time, we saw robust sales of our tower-mounted amplifier products and due to several large regional projects at a major customer. This combined with ramping sales of our DAS panels due to multiple customer wins at large venue sites led to 33% sequential growth in Westell segment revenue.
 The second quarter Westell growth rate was especially helpful given the fact that some of our legacy product lines continued to experience flat to down revenue trends during the quarter. However, per our strategic plan, we are now much less dependent on the sales of these legacy products to produce our financial results.
 I think it’s safe to say that the consolidated second quarter results put us in a good position to achieve our 3 key financial goals for FY ’14. These are to achieve a revenue run rate of $100 million, to maintain consolidated gross margins of greater than 40% and to generate positive cash flow. Our success in Q2 continues to validate our strategy of moving from legacy wireline products to emerging wireless products.
 Now we come to the second investor question. Will the recent trend of good results continue? As a practice, we do not provide specific quantitative guidance. However, I can certainly make some qualitative observations along the lines of standard SWOT analysis, strengths, weaknesses, opportunities and threats as applied to Westell. Our current strength includes a strong balance sheet with no debt and more than $80 million in cash, a well-defined business strategy and an experienced and effective team at all levels in the organization.
 Our primary weaknesses include: we are still relatively small to be a public company and we have significant customer concentrations in some product areas. Our key opportunities include: though we are still very early in the roll-out of Kentrox products, we intend to sell Westell segment products in the international marketplace; we are developing cross segment products for future sales; and we have the resources to make additional investments and strategic acquisitions.
 Finally, the most significant threats we face are: parts of our business are clearly project oriented. Certain products may be integrated into adjacent products by larger competitors. We see seasonality for some product categories and customer budget cycles can sometimes have a negative impact.
 Obviously, neither all the opportunities nor all the threats listed above will be realized. However, this SWOT Analysis should serve to illustrate both the advantages and risk involved in being a small telecom equipment provider.
 That said, I expect the third quarter to be a solid contributor to our FY ’14 results. Though perhaps not quite as strong as Q2 and that’s due to the fact that there are fewer business days in the current quarter and we are facing end of year budget cycles and they may have an effect.
 We are certainly in a position to achieve all our stated financial goals for FY ’14 and to possibly ship more than $100 million in the current fiscal year which I hereby list as a stretch goal for FY ’14.
 In summary, Westell has had a really wonderful first half of the fiscal year, thanks, and thanks in part to our performance in the second quarter. I’m confident that we will record strong results for the entire fiscal year 2014. Perhaps more important, we’ll be well positioned for continued growth next year.
 And with that, I’d like to open the call for your questions. 
Operator: [Operator Instructions] We have Todd Brady from Oppenheimer on the line with a question. 
Todd Brady: Can you give us a quick update on the status of the Homecloud? And secondly, your receivables moved up a fair amount for the quarter. Does this signal increased confidence on the international side of your business? I mean, once again, I'm circling back on previous calls. You talked about Kentrox and the international opportunities, but you guys keep talking about the domestic projects with Kentrox. So connecting the dots, is that a fair way to look at it? One final question on the OpEx side, with the revenues moving up and the margins holding nicely, would it be fair to say that we might be looking at OpEx moving higher and what would be a fair range for OpEx going forward. 
Richard Gilbert: Okay. Well I’m going to start by letting Tom handle the financial questions you asked and then I’ll talk about the Homecloud. 
Tom Minichiello: Yes. So Todd let me take your three questions there. Second and third were accounts receivable and operating expenses. So, on the accounts receivable we had growth in the quarter pretty significant from the first quarter. So naturally our accounts receivable balance increased. It’s not so much to do with geographic sales, it’s really just the overall increase we were collecting all our revenues but we are also obviously adding to the receivable balance at a much greater clip. So we don’t really expect any change in our DSOs, it doesn’t -- it’s not reflective of anything that’s going on with the collections themselves, it’s just simply growth in the business. 
 Okay. The other question on operating expenses, we’re on a GAAP basis what you’re going to see is you’re going to see -- you saw a decline from first quarter to second quarter, you’ll probably see a little bit more of a decline because remember in the GAAP operating expenses, we’ve got intangible amortization which is a large number that emanated from the Kentrox acquisition on April 1. So that will go down a little bit and so you will see a little bit of a decrease there.
 On the non-GAAP basis, when you strip all that out we’ve been running pretty even at $9.3 million, $9.4 million and that’s reflective of where we feel good about right now in terms of our investment levels and how we’re investing in R&D and sales and marketing in the business. So currently we see that remaining as is at this point in time. 
Richard Gilbert: And to answer your Homecloud question I think we talked about this in the last quarters. Homecloud we are not selling at this point, we are not actively selling the product. It was great technology, it was really targeted more for the retail market and we don't have it on the market. We’re very proud of developing technology in that area. And the key members of that team are currently working on some very excited -- exciting cross-divisional products that we intend to get in the marketplace early next year, actually in the fourth quarter. And we’re very excited about the work they’re doing and the fact that they can do that work comes from the fact that they did Homecloud. 
Operator: Next question comes from Mike Latimore from Northland Capital. 
Mike Latimore: So in the quarter were the top 4 or 5 customers similar to last quarter or were these new ones that really contributed well? 
Tom Minichiello: Yes, Mike, they were similar to last quarter. 
Mike Latimore: I know you announced a couple new customers like Claro in the quarter. Any other customer, these are customer wins during the quarter? 
Richard Gilbert: There were some customer wins but I think the answer Tom is accurate. I mean our largest customers are still our largest customers, the business is continuous and strong. 
Mike Latimore: And you talked about large deployments particularly in the domestic market. Can you get a little more color on that? Were they deployments that were sort of finished during the quarter or they kind of multi-stage and if so, what stage would they be in? 
Richard Gilbert: No, the real point I'm -- we’re not going to talk about individual projects because a lot of those are on a non disclosure. But the main point we were simply making is some of our business, including the Kentrox business, is certainly project oriented. And of course when you get a lot of projects flowing rapidly in a quarter you get good results. There is no fundamental change we see in that in the nature of that business and the way to manage that business obviously is to continually win new projects and keep rolling out product, and that’s the business we’re in. 
Mike Latimore: On the Kentrox side what, were there any key applications that were in demand monitoring I don’t know,  field generators or something like that, or anything that really drove the interest in the quarter on Kentrox? 
Richard Gilbert: Well, remember Kentrox is a modular architecture that supports alarm management in a number of application areas over a number of separate modules the customers can buy and basically their business hasn’t changed. I mean, they see revenue from 4 sources really the hardware, the software allowances, the EF&I services and maintenance contracts. And when they have a product in place they can expand the use of that product through additional modules and additional applications within modules. And again, it’s hard to go into too much detail but yes the expansion in installations on the Kentrox side of the business. 
Mike Latimore: And I think with Kentrox a little more backlog than you do with traditional Westell business. How is the backlog sort of entering the December quarter relative to entering the September quarter with Kentrox? 
Richard Gilbert: It’s good. 
Tom Minichiello: Yes. 
Richard Gilbert: It’s good. 
Mike Latimore: And the obsolete inventory chart, is that something that we would expect in the future quarter or is that kind of a one-time event? 
Richard Gilbert: Well, we monitor our inventory levels on all product categories. The largest part of that obsolete inventory charge was due to some of those legacy product lines I talked about in my part of the discussion that where -- they continue to ramp down. And we’re just taking reserves on stuff that could become obsolete if those ramps continue. 
Mike Latimore: And just last question, the Kentrox margin was very -- gross margin was very strong. Was that sort of more software still in the quarter or was it still tied to kind of hardware changes? 
Richard Gilbert: Well, majority of Kentrox sales are still hardware but Kentrox margins will always be strong because of course you do have the software elements which have very high margins and then of course you have EF&I and service revenue as well which obviously has good margins. It's something we are trying to learn from the Kentrox segment to apply over here as well because the fact that they’re selling service contracts and such is one the reasons they have such strong margins. 
Operator: We have a call from Marco Rodriguez from Stonegate Securities on the line with the question. 
Marco Rodriguez: Just really quick, in regard to the Kentrox revenues, can you provide some color on what that growth rate represents year-over-year? 
Richard Gilbert: Tom? 
Tom Minichiello: Yes, well, their revenue year-over-year quarter was right around $10 million, so that $16.1 million you can get it from there. 
Marco Rodriguez: And then just a kind of follow up previous question here. With the project work and I understand that the model is dependent on that, with the project that you saw that were completed or started in Q2, were there any that were accelerated or came forward a lot quicker than you were expecting? 
Richard Gilbert: No, actually I think if anything we saw more revenue on some projects than we expected and in terms of projects started or stopped and there were no projects stopped in Q2. These were continued projects. And again, I don’t want to get too focused on the project nature because we’re simply pointing out that there are some product areas that include some of the new products that are going to be project oriented. And when you’re in a pure play telecom equipment provider business as we are, you have a limited number of large customers, they have projects and you need to win those projects and execute those projects. And that’s all we were pointing out. 
Marco Rodriguez: And in terms of where you’re sitting right now, how much visibility do you have going forward on both businesses. 
Richard Gilbert: We certainly have better visibility on both businesses going forward than we had a year ago, all right. One reason for that is that we have certainly a longer term visibility to Kentrox business and I think I said this in previous calls than we have on some of our other Westell division product lines. But even in the Westell area, we’re starting to see a little longer term visibility and more backlog entering quarters than we have in the past. 
Marco Rodriguez: And then in terms of the Westell gross profit, I understand that it’s a sequential decline and year-over-year decline is a function of the inventory charges. Can you quantify what that inventory charges was, the amount? 
Tom Minichiello: Yeah it was just under $1 million $950,000, Marco. 
Marco Rodriguez: Got it. Okay and then, I'm sorry. 
Tom Minichiello: By the way just to clarify that was a reserve. 
Richard Gilbert: Yes, not a charge. 
Marco Rodriguez: And then on Westell, the gross margin sequentially ticked up about 700 basis points. Just trying to understand what sort of driving that there. Is that, did you have a better mix inside of the revenue generation there or is it just the higher revenues that drove that increase? 
Tom Minichiello: Yes, both of those Marco. 
Marco Rodriguez: Was it equally weighted, would you say? 
Tom Minichiello: Yes. I would say so. 
Operator: [Operator Instructions] Our next question comes from Jeff Linroth from Leaving It Better, LLC. 
Jeff Linroth: I just have a couple of R&D questions comparing the 2 segments. And the first one is about the level of concentration or focus versus being dispersed across larger amounts of smaller projects. How would you compare the concentration of the R&D expenses in the 2 segments in that way? 
Richard Gilbert: Well, I mean the Westell segment has more discrete product categories than the Kentrox segment. That said, I mean the way you apply R&D resources you try, we try very hard to apply the right number of engineers to the projects. And so I guess one way to look at it is when you have 6 or 7 product categories in Westell, I think Kentrox is a more homogeneous set of products and you just see a lot more engineers on a wider set of products in the Kentrox segment -- in the Westell segment, excuse me. 
Jeff Linroth: Okay, thanks for that and then of course the actual amounts are different, the Westell segment being greater. When you look forward and think about at a high level how do you see that comparison changing and any color you would add on why would also be helpful do you see that ratio being maintained or do you see a trend in one direction or another comparing the 2 segments in R&D? 
Richard Gilbert: Well, we try to focus on strategic investment in R&D. We try not to be too reactive so we have specific market categories that are targets, we have specific products that in those market categories where we’re either adding products or we’re initiating categories. And again, we size projects, we apply engineers on that basis, we have the ability, these engineers can be moved around I just mentioned the reuse of some of the key Homecloud guys on some key projects that have nothing to do with Homecloud. And Jeff, we simply try to apply the right resources to the right projects and we try to stay strategic. And I hope I've answered because I'm not sure I understand what you’re trying to… 
Jeff Linroth: I'm kind of looking for a little bit of your anticipated direction because I mean I look at this and I see that the Westell segment is twice the Kentrox segment and I don’t obviously don’t have a judgment about that but I'm interested in, if you have any visibility or any anticipation of how that mix might change quantitatively? 
Richard Gilbert: Well, it will change as it needs to change. I mean, that’s pretty much where I’ll leave it. I mean we think we have the resources applied to the right place. And by the way try not to get too hung up on, hey, there's engineers in the Westell segment and there are certain amount of engineering cost in the Kentrox segment and trying to do that balance because remember on both sides you have people working on cross product, cross divisional developments. And remember I mentioned those earlier. So you may have engineering cost in the Westell segment that will have real applicability to the Kentrox customers, okay. 
Operator: Next question comes from Todd Brady from Oppenheimer. 
Todd Brady: Just a quick follow-up. Two things. Rick, if you could just talk a little bit more about the cross segmentation, you were doing some work for the New York City Transit. Would you -- would it be fair to say that your discussions and conversations on projects like this going forward you feel a lot more confident today than 6 months ago? Is that what we’re hearing and talk a little bit more about the cost segmentation opportunities may be in that particular vertical? 
Richard Gilbert: I think we’re talking about two separate things but they’re both interesting. The New York City Transit project, the Transit Wireless project is something that would fall into our custom systems integration project category and that’s where we supply parts of the project. We actually put together the cabinets here. We have some -- we ship them out and they install them in the subways. And it’s a relationship we appreciate, it’s something that shows our strengths and it’s a very interesting project so. So, that’s not cross-divisional per se, I mean that’s really a Westell divisional project in the custom systems integration market category, and then a good example by the way of project oriented nature of the business.
 What we’re really talking about with cross divisional is to remember Kentrox brings intelligent site management, M2M capability to our entire product lines potentially. So we can look at products, projects we already build like power systems or cabinets or DAS panels or you name it and endow those products with Kentrox manageability using some of the Kentrox technology and then at the same time, we can use some of the resources we have here. I mentioned again the guys working from the Homecloud division to do stuff that will be applicable to the Kentrox product lines. That’s what I really meant by cross divisional stuff.
 Now this is stuff that’s underway. You will be seeing announcements coming out on products in this area. And it’s one of the reasons we really liked the strategic fit between Kentrox and Westell is that we could do a lot of those cross divisional stuff and actually build products that are very differentiated in the marketplace. These will be some pretty unique things coming out. And I can tell you that we talk to customers about these things. We are continually talking to customers about the kinds of stuff we can build here and we’re getting some very positive feedback and we’ll see where we’re looking forward to it. And then there is one of the things I mentioned in my SWOT Analysis as a key opportunity to get these kind of products to the marketplace. 
Todd Brady: [indiscernible] 
Richard Gilbert: I can’t really preannounce products here. 
Todd Brady: No, that’s very fair. One final question, just a sort of a broad 30,000 foot question. Obviously you got a lot of cash in your balance sheet, it sounds like operationally the business has turned, it’s moving up. So, valuations that your team is seeing out in the telecom equipment world maybe the wireless division or segment. Have you seen much change in the companies that maybe you’re looking at or talking with to bring in as part of the Westell portfolio? How should we think about the change in valuations and your use of cash going forward over the next 12 months? 
Richard Gilbert: Okay. We are -- it’s impossible to generalize an answer to that. You see things that we think are undervalued, we think -- we see things that we think are overvalued. I haven’t seen a shift or a trend in the stuff we’re looking at.
 Suffice to say that we will -- we are focused on additional strategic acquisitions, we’ve said that before, you know what our goals are for FY ’15. To achieve those goals we have to do both inorganic and organic investment and we have the cash to do it. And we are focused on identifying stuff that we can build in-house and we are focused, very focused, on very specific market categories that we think we’re going to attack by strategic acquisition. 
Operator: Our next question comes from Brian Horey from Aurelian Management. 
Brian Horey: I just wanted to follow-up on the last question. I guess and at one level ask you how you think about the capital allocation alternatives at this point between organic growth, stock buybacks, dividends, that kind of stuff. And then maybe the second level question is within the M&A category, how far do you think you are from the scale you want to be at it at least to some intermediate term level where you feel like you got the company at least minimally sized for the -- for being a public company and so forth? 
Richard Gilbert: Okay. Let me start with the first question, obviously 3 key uses for cash are investment and that could be either internal investment or strategic acquisition. The second would be a stock buyback, as you know we’ve done that in the past. And the third would be a dividend and I can tell you that there is really a very little interest on the board to look at dividends for a company our size so that’s unlikely stock buybacks are discussed at the board level and as I said, we’ve done those in the past. But I think the board and the management team here strongly feel the best use of cash is continued investment in the business.
 And really the use of cash relative to internal and external depends on what we think we can do most efficiently. And we will be doing both. And to just -- make one point. We have publicly stated that we want to get to a fiscal year ‘15 run rate of $200 million in revenue and to do that we need both, internal investment and additional strategic acquisitions. And we think we see visibility to being able to do that. But if you are looking at what to expect that we are not going to sit on our cash like the Bank of Aurora, we’re going to use it to invest to get to our strategic goal. 
Operator: [Operator Instructions] Next call comes from John Gibbons from Swanson River Capital. 
John Gibbons: I just wanted to follow-up on that last question. So when you think about the bridge to get to let’s say $50 million in quarterly revenue, from current run about $30 million. Could you bracket roughly sort of what percent might come from acquisitions or might come from new products, or might come from market growth or is that too granular at this time 
Richard Gilbert: It’s a little hard to do that. I mean the products we currently have and the investments we are currently making can take us well above $100 million run rates. But it probably can’t take us all the way to $200 million run rates, that’s really the statement I’m making. And so we don’t make frivolous financial goals and announce them publicly and it is important to us to get to that $200 million number, we are a public company and we think that’s what we need to get to.
 Our goal this year was to get to obviously a fiscal year run rate of $100 million so I mean we clearly can do that. And to get to the goal for next fiscal year, 16 months away, we’re going to have to do at least one more strategic acquisition and that’s the way we look at it and we have people working on that problem. 
Operator: At this time, we have no further questions. I would like to turn the call over to Rick for closing comments. 
Richard Gilbert: Well, I simply like to thank everybody for joining the call. We look forward to the next call and hope to be able to report more progress. 
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.